Operator: Good day, ladies and gentlemen, and welcome to the Galiano Gold, Inc. Third Quarter 2025 Financial Results Conference Call. [Operator Instructions] This call is being recorded on Friday, November 7, 2025. I would now like to turn the conference over to Matt Badylak, President and CEO of Galiano Gold. Please go ahead.
Matt Badylak: Thank you, operator, and good morning, everyone. We appreciate you taking time to join us on the call today to review Galiano Gold's third quarter results that we released yesterday after market close. On Slide 2, we'll be making forward-looking statements and referring to non-IFRS measures during the call. Please refer to the cautionary notes and risk disclosures in our most recent MD&A as well as this slide of the webcast presentation. Yesterday's release details our third quarter financial and operating results. They should be read in conjunction with our third quarter financial statements and MD&A available on our website and filed on SEDAR+ and EDGAR. Also, please bear in mind that all dollar amounts mentioned in the conference call are in U.S. dollars unless otherwise noted. On Slide 4, with me on the call today, I have Michael Cardinaels, our Chief Operating Officer; Matt Freeman, our Chief Financial Officer; and Chris Pettman, our Vice President, Exploration. For this presentation, I will initially provide a brief overview of the quarter, Michael will give an operations update. Matt will discuss the financials, and then Chris will review the ongoing exploration success his team is having at Abore. I'll then provide some closing remarks and open the call for Q&A. Here on Slide 5, we can see the team continued the momentum during the third quarter towards an improved overall operational outlook. Let me walk you through the highlights on this slide. Safety remains a top priority. I am proud to report that, again, no lost time injuries were reported for Q3, maintaining a strong safety record and demonstrating our unwavering commitment to our workforce. Turning to production. We produced just over 32,000 ounces of gold in Q3, up 7% from 30,000 ounces produced in Q2. This increase was driven by higher grades and increased throughput quarter-on-quarter following the commissioning of the secondary crusher in late July. From a financial perspective, Revenue came in at $114 million, up 17% quarter-over-quarter from $97 million. This was driven by higher production and improved gold prices. Our balance sheet remains solid. We ended the quarter with $116 million in cash and cash equivalents, a slight improvement on Q2 despite stripping at Nkran increasing during the period. This strong cash position provides us with the financial flexibility to continue to invest in our operations, particularly as we accelerate stripping at Nkran in 2026. Exploration remains a key focus area. At Abore, we drilled just over 11,000 meters during the third quarter focused on infill and step-out drilling around the high-grade zones identified earlier this year. Moving to Slide 6, please. Here on this slide, I'll provide a few words about the events that occurred at Esaase during the quarter. As previously disclosed, on September 9, an incident occurred when a group of illegal miners attacked military camp, housing members of the Ghana Armed Forces and damaging our contractors' mining equipment at the Esaase deposit. Regrettably, the incident also resulted in the death of a community member. Due to the scale of damage sustained to the fleet, mining operations at Esaase were paused. However, haulage from low-grade stockpiles resumed shortly after the incident. Since early September, we have worked closely with our mining contractor to remobilize the fleet to Esaase. This process continued into early November, and I'm pleased to report that mining operations at Esaase now recommenced and will continue to ramp up over the balance of the year. With that, I'll turn it over to Michael and Matt to discuss production and financial performance in more details in the coming slides. Over to you, Michael, and Slide 7, please.
Michael Cardinaels: Thank you, Matt, and good morning, everyone. As Matt just highlighted, we continue to see an upward trend in performance during the third quarter of the year. We had a significant increase in personnel hours worked on site during Q3 with the ramp-up of Nkran mining staff and contractors involved in the secondary crusher project and the TSF Stage 8 construction. Our safety statistics continue to improve, with over 4.2 million man hours worked since the last lost time injury. On a 12-month rolling basis, our lost time injury and total recordable injury frequency rates up 0.39 and 0.9, respectively per million hours worked at the end of September. In terms of mining production, Esaase mining was impacted by the incident mentioned earlier by Matt. But production from Abore increased significantly, including a 57% increase in ore mined compared to the previous quarter. As Abore development has progressed with increasing depth and the pit is opened up to a steady state. We now have a better understanding of the ore body and our ability to recover the resource. We find ourselves mining more ore tonnes at lower grade, resulting in approximately the same number of ounces. And Abore currently provides the majority of the mill feed and will continue to do so for the balance of the year. Despite the Esaase mining interruption, production from both Abore and Nkran pits increased, and the total material mined increased 26% in Q3 compared with Q2. On to Slide 8, please. As you can see from the images on this slide, Cut 3 of Nkran pit is progressing well, including the development to support infrastructure in the form of an overhead power line extension and relocation and the drilling of additional deepwatering bars around the perimeter of the pit. Nkran stripping also increased 111% compared to Q2, primarily as a result of an additional excavator being mobilized to site as part of our ramp-up plan. Development capital costs for pre-stripping at Nkran totaled $12 million in Q3 and $22.1 million year-to-date. The contractor is on track to deliver additional equipment in Q4 2025 and the remainder of the planned fleet to ramp up to full capacity in 2026, putting us in good stead to continue stripping as per our schedule with steady-state ore production still due in the early 2029. On to Slide 9, please. On the processing performance, with the successful commissioning of the secondary crusher circuit at the end of July, we saw an increase in the plant performance for Q3. Milling rates since commissioning of the secondary crusher have increased approximately 13% compared to Q2. There remains some modifications in the circuit to fully optimize the performance, and as such, we expect to see further increases in production in Q4. Mill feed grade also improved compared to Q2 as we are getting deeper into the Abore pit and have access to better grade at depth, which in turn helped increase the recovery. On the back of the improved plant throughput and grade, we increased gold production to 32,533 ounces for the quarter compared to just over 30,000 ounces in Q2. The incident and subsequent interruption at Esaase have unfortunately had an impact on our plan for 2025. Despite having now restarted mining in Esaase, we will continue to see an impact as we ramp back up production over the balance of the quarter. Our forecast takes this into consideration, along with our improved understanding of the Abore deposit and the recent performance of the plant following the commissioning of the secondary crushing circuit. We estimate a revised production guidance of between 120,000 and 125,000 ounces for the year. And with that, I would like to turn over to Matt Freeman to discuss the company's financial results.
Matthew Freeman: Thanks, Michael. Good morning, everyone. Here on Slide 10, we've outlined some of the key financial metrics for the quarter. We recognized revenues of $114 million, at a record average price of just over $3,500 per ounce for the impact of hedges. We earned income from mine operations of $48.2 million, while net earnings continue to be negatively affected by the fair value adjustments to our hedge book, following the continued run-up in gold prices such that we recorded a net loss before taxes of $5 million. This quarter, we also recognized a tax expense for the first time now that we have exhausted previous tax losses and a forecast to be taxable this year. Indeed, we've already paid $12 million in tax installments to the Ghanaian government. We generated $40 million of cash flows from operations in the quarter and ended the period with a strong cash balance of approximately $116 million. This included, as mentioned before, payments of additional $6 million in income taxes. In addition, as previously advised, given these strong operating cash flows, we have continued to allocate capital to accelerating the waste to the Nkran, incurring $12 million in the quarter as Michael noted, we expect the Nkran mining volumes ramp up further as more equipment is mobilized. All-in sustaining costs were consistent with the second quarter at $2,283 per ounce, we expect AISC to start to reduce in Q4 as production volumes increase compared with Q3. Despite our expectation that all-in sustaining costs will be lower in Q4 than Q3, given the overall shortfall in production ounces that Michael mentioned, we have increased our all-in sustaining cost guidance for the year to between $2,200 million and $2,300 per ounce. And this includes all the impacts of the royalties under the higher gold prices that we previously mentioned. On to Slide 11. Despite the headline increase in AISC that really is primarily production-driven. We continue to focus on the cost structure of the mine and are pleased that fixed operating costs such as processing and G&A in aggregate remain consistent with previous quarters. Of note, pricing costs per tonne have continued to reduce quarter-on-quarter, seeing a 13% decline in unit costs since Q1, and we expect further decreases on a unit basis as the full impact of the secondary crusher is realized in the fourth quarter. Mining costs at our producing deposits, namely Abore and Esaase declined on a per tonne mined basis by approximately 8% as mining volumes increased. Additionally, Nkran mining costs are also subject to a fixed unit mining contract, and we expect to see those unit costs continue to decrease as volumes increase over the next 12 months as management costs, which affects a shared over more tonnes. We also remain disciplined with capital allocation with regards to capital. The largest project ongoing currently is the Raise 8 at the tailings facility, which is expected to be completed in 2026. So overall, costs are being well managed, and we should see an improvement in unit rates as the year progresses. Now that the secondary crusher is online, and we expect to produce more tonnes and subsequently produce more ounces. This will generate higher operating margins and cash flows for the business. On to the next slide, please. Our cash margins have improved with the run-up in gold prices, which has meant that despite investments in the development capital for the secondary crusher project and stripping Nkran, we continue to maintain a very strong balance sheet with approximately $116 million of cash and no debt. We're also pleased to have progressed discussions to implement a $75 million revolving credit facility to further enhance the balance sheet to be earmarked for general working capital. And with that, I'll turn it over to Chris to discuss the exploration progress we've seen at Abore.
Chris Pettman: Thanks, Matt. Q3 was another excellent quarter for us in exploration and was highlighted by exceptional results from drilling at Abore. Our press release dated August 20 detailed the first results from the Abore Phase 2 drilling program, which commenced in Q2 and led to the discovery of multiple new high-grade ore shoots across the Abore South and main zones as well as a significant new high-grade discovery at the northern end of the deposit. Some of the highlighted intercepts from this stage of drilling are shown here on Slide 13. Following these results, drilling at Abore remained the focus of exploration activities at the AGM through Q3 as we began infill drilling to prove continuity of these new high-grade zones while also continuing to test for further extensions of mineralization below the mineral resource. Drilling activity was ramped up through the quarter from a total of 5,040 meters drilled at Abore in Q2 to an additional 11,554 meters drilled in Q3. Based on the continued success of Abore drilling, the program has been further expanded with an additional 10,000 meters now planned for completion by the end of this year. This drilling is currently underway and the next round of results is expected to be released shortly. In addition to our work at Abore, we continue to advance our regional greenfield portfolio targets through the quarter. Most notably, the ground IP survey at the Nsoroma target area, which is located approximately 8 kilometers southwest of the processing plant was completed on schedule in Q3. The survey was successful in identifying chargeability and resistivity targets coincident with previously identified gold and soil anomalies along the interpreted extension of the Nkran shear zone. Drilling is now underway, and approximately 2,000 meters of RC drilling is planned for completion in Q4. The Nsoroma target area lies within a 5-kilometer long gold and soil anomaly located on the Nkran shear southwest of the Nkran deposit and is one of the several high-priority regional targets being evaluated by the AGM exploration team. Next slide. This image on Slide 14 is a long section through Abore showing the location of highlighted assay results received in Q3. Drilling has identified 2 primary ore shoots plunging to the north at low angles under the south and main pits. Additionally, high-grade mineralization has been intercepted below the saddle zone between the 2 pits along the conjugate south plunging structure as well as in the new high-grade zone under the North pit. We are particularly encouraged to see wide intercepts of mineralization at significantly higher grade than the current Abore reserve grade of 1.27 grams a tonne over long strike length as we continue to evaluate the potential for an eventual transition to underground mining. Next slide. Slide 15 shows the locations of the drilling I've been discussing in plan view to further illustrate the fact that mineralization intercepted in this round of drilling spans the entire 1.8-kilometer strike length of the Abore deposit. Next slide. This cross-section here shows one of the holes drilled below the south pit hole 368 which intercepted 45 meters at 2 grams a tonne, including 17 meters at 3.3 grams a ton. This image is reflective of how strong mineralization is being intercepted below the mineral resource across the deposits and the potential growth upside as the system remains open. Next slide. As mentioned earlier, based on the success of Q2 results and what we've been seeing through Q3, the Abore drill program has been further expanded with an additional 10,000 meters now scheduled for completion in Q4. Drilling will continue to focus on conversion of mineral resources and testing for further continuations of mineralization down plunge and beneath the current drilling. We're very pleased with the Q3 results and are very optimistic about continued exploration success at Abore and across the AGM portfolio targets. With the support of Matt and the Board, we have been giving access to additional resources to capitalize quickly on these positive results and have secured our drills through 2026 to ensure we can continue the Abore program unabated. And with that, I'll hand it back to you, Matt.
Matt Badylak: Thank you, Chris. In closing, I'd like to highlight that although the quarter fell slightly below expectations and the incident at Esaase necessitated a review of full year guidance Q3 showed continued positive momentum. We saw quarter-over-quarter improvements across key operation metrics, including total ore tonnes mined, mill grades, mill throughput, gold production and cash balances, all moving in the right direction. As we continue to optimize the secondary crushing circuit, we expect further throughput enhancements in the quarters ahead. On the exploration front, I'm particularly pleased with our progress. The upside we are seeing at Abore reinforces my confidence in the organic growth potential of the AGM, and I remain excited about what lies ahead. This quarter also marked an important shift in our shareholder base. Following Goldfield's divestiture of the 19.5% stake, we have strengthened our register and improved our trading liquidity. I want to remind everyone that Galiano is well positioned as Ghana's largest single-asset gold producer with compelling fundamentals across many key areas. We maintain a robust production outlook supported by strong financial discipline, including a solid $116 million cash position, which provides flexibility to execute our mine plans. With that, I'll turn it back to the operator and open the line up for any questions. Thank you.
Operator: [Operator Instructions] Your first question comes from Heiko Ihle from H.C. Wainwright.
Heiko Ihle: Decent quarter overall, I guess, even given the guidance. You obviously had great recoveries in the period, and that really matters given the current pricing environment. And it seems like additional improvements are made to the circuit. Walk us through what you see as the longer-term impact of all of this? And if you were in my shoes, how would you model this out? I mean these were the best recoveries in over 4 -- I think, 4 quarters it was.
Matt Badylak: Yes. Thank you, Heiko. I appreciate the question. I think best if I just pass it across to Mick for an initial adds up, and then I can add anything if needed.
Michael Cardinaels: Yes. I think we've benefited from the increasing grade that was seen quarter-on-quarter over the year. And with that improved grade comes an improvement in our recoveries as well. And we expect those to be maintained into next year. And obviously, hopeful that the grades improve further with depth as well. We do have a number of things that we are finalizing in the secondary crushing circuit, as I mentioned, we're upgrading a number of conveyor drives. We're trying different configurations with our screen panels and a few other things to further optimize that circuit. We think that there's additional throughput enhancements that we can achieve. So we expect to trend upwards and obviously targeting that 5.8 million tonnes per annum. if that answers.
Heiko Ihle: It does. Matthew, do you want to add anything or do you want to move on?
Matt Badylak: No, no. I think mix answered your question, ultimately, there's only one other thing, I guess, that we didn't touch on is that the SAG mill discharge grades are also going to be reduced in size as well, and we feel that that's going to improve our throughput and also potentially recoveries as well. So yes.
Heiko Ihle: So yes. Fair enough. On Slide 13 in the presentation, you talked about some of those high-grade ore shoots. You also discussed this in the press release with the earnings and then also back in August. These intercepts, some of which you see 3 grams per tonne are obviously very economic, especially right now. With this transition to underground mining, I mean, I know it's quite early to ask this question, but I assume at least some thinking has been done on this. What exactly would be needed to start underground mining related to costs, permitting, duration to get a decline, all that good stuff?
Matt Badylak: Yes. Good question, Heiko. Well, obviously, we're really, really excited about the grades that we're seeing just below our current reserve pit, right, as highlighted in the slide that you mentioned. I think the first step that we need to tick off, and this is quite imminent for us at the moment, too, is to define what the underground resource looks like there at Abore. And as I said, I mean, that's not too far away, and there will be some work internally and also with external consultants that is currently going on. We do expect to have a view on that in the early next year, Heiko. So that's the first stage. And on the back of that resource or the maiden resource, we will be able to provide a little bit more color in terms of what we're seeing with regards to the cost time lines, permitting, et cetera, on that front as well. But again, I will highlight that the upside for underground at the Asanko Gold Mine is not within the next 12 months, right? It's probably a year or 2 away. We have to continue to mine through the bottom of Abore at the moment. And then once we do that, it will come on the back of the depletion of this under open pit resource. That doesn't mean that we can't start the work concurrently, but the ounces delivered to the mill are some time away at this stage.
Operator: Your next question comes from Raj Ray from BMO Capital Markets.
Raj Ray: The first one is more a clarification on, I think, Michael's prepared remarks, and my apologies if I got it wrong. Michael, you're saying that with Abore, you're getting more tonnage at the lower grade and then the overall ounces is still the same? Is that correct?
Michael Cardinaels: Yes, that's correct. A function of basically being deeper into the pit has allowed us to open up and we're mining full width across the granite ore body now. And with the reduction in material that has come out of Esaase, we're basically relying heavily on Abore to feed the mill. So we -- we're seeing with our mining methodology to keep tonnes to that mill, we can basically mine such that we're limiting how much material is being stockpiled. So we're less selective in terms of high grading that material, knowing that it's all going to the process plant to keep ourselves fed at the moment.
Matt Badylak: Yes. Maybe I'll just add to that. This is kind of quite specific to the last quarter, as Mick was saying, and we do know that the mineralization at Abore, you don't want to lose any of the high grade that may be lost if you tighten up your [indiscernible] too much, right? So we had the opportunity in Q3 to maybe step out a little bit and accept a little bit more dilution in Q3, and that's kind of driving the commentary as well.
Raj Ray: Okay. Got it. And the second question I had was, I noticed that part of the CapEx has been -- the development CapEx has been deferred into next year and you've lowered your number. Is there any potential for any impact early in '26 as a result of Esaase being out for 2 months? And then if you can comment on what your stockpile levels were at the end of Q3 in terms of tonnage and grade?
Matt Badylak: Yes, sure. Listen, in terms of guidance and outlook for 2026, obviously, that will come in due time. We're working through that at the moment internally. And once we have clarity on where the numbers lie on '26, we'll obviously provide the market with an update in early 2026 on that. But at this stage, as we were saying, we do expect that the material movement from Esaase will ramp up and be in a position where this impact of the shutdown that we had that we saw in Q3 and early into Q4 is probably going to be addressed by that stage as well. So we don't expect it to be extending into the new year. And then in terms of stockpile grades and balances, guys, do we have that at hand? Or should we get back to Raj on that one?
Matthew Freeman: I think we can get back with specifics. So I don't have the actual numbers to hand. I think we obviously don't have a particularly big stockpile at this point. I think, as Mick alluded to, given the pause in mining at Esaase we won't be able to mine excess material. So we build up maybe 0.5 million tonnes or a bit less than that, but no more on keeping it fairly small. And the grades of that will be similar to what we've been seeing going through the mill. So maybe slightly lower where we could have got some slightly better grades through the mill, but pretty consistent with what you've seen from the mining...
Raj Ray: And if I may, one last question. On the Ghana audit, is it possible for you to give any color in terms of what they are specifically asking from the companies?
Matt Badylak: Yes. I think you're referring to the MinCOM audit. This was not that was received by all large-scale mining companies earlier in the quarter. So it's not specific to Galiano. We are of the understanding that our site audit will take place in January next year. It's been staggered monthly between all the large-scale mining companies. There's been no additional information provided to us at this point in time in terms of what's being specifically audited or any request for pre-documentation before that. So -- that's all I can provide on that at the moment, Raj.
Operator: Your next question comes from Fred Schmutzer from Equinox Partners.
Alfredo Schmutzer: Matt, first, I just wanted to have maybe an update on the community relations. How has that evolved since the incident?
Matt Badylak: Yes. I mean, again, it's a very good question. Like we worked hard Alfredo to ensure that the community relations across all of our tenements, which are quite large, are maintained. I'm pleased to report that shortly after that incident the relationships there were brought back into check and we've been able to haul, as I mentioned earlier, we've restarted haulage operations from Esaase stockpiles very shortly after that incident occurred. So from that point until now, everything has remain calm and has returned to normal. But these kind of things do flare up. And we're keeping close relationships with all of our community members across all our tenements. So nothing to be concerned about at this point in time on that front, Alfredo.
Alfredo Schmutzer: Okay. That's great. And then on unit costs. So you mentioned that they're going to keep decreasing as you increase the volumes. But how can we maybe model that reduction of unit cost in terms of dollar per tonne? Like how much can it go down?
Matthew Freeman: Alfredo, it's Matt Freeman here. I think from a sort of a G&A and processing standpoint, the easiest way to model it is to see that our absolute costs are pretty fixed on a month-by-month, quarter-by-quarter basis. So therefore, as we increase those in the milling and increase the throughput, that will actually bring your unit cost down. So if you make some assumptions, as Mick said, hopefully getting back towards the 5.8 million tonne run rate through -- an annual basis throughput, fixed costs will therefore come down on a unit cost basis. Mining cost is a little bit harder. I think the reduction is modest as we increase the mining volumes because really, that the mining contracts are largely variable cost, but we do have a management -- a fixed monthly management cost component, and that's a bit where you start to benefit in those unit rates. So as we move forward, certainly through Q4, we're seeing those rates come down a little bit. But then again, as we move into future years as you get deeper in some of the pits, then you start to maybe as things start to creep back up again a little bit or get back to where they are now as you have longer haul cycles and you're in deeper parts of the pit. So it's a little bit hard for me to guide you exactly on that, but I think the mining costs are sort of where we are now is a good point and it's not going to get higher in the short term, and it should drive down a little bit in Q4, if that makes sense.
Alfredo Schmutzer: Yes, yes, very helpful. And then my last question is on taxes. So you mentioned you have already paid $12 million this year. And I know this year is especially more difficult to model because you just finished, I guess, using all those losses. So do you have a kind of a range of how much you're going to pay for this year? Let's assume spot prices until the end of the year, like just to have a range of how much would you pay? And then going forward, how should we calculate that? It's just like a 35% effective tax rate?
Matthew Freeman: Yes, you're right. It is a bit complicated and it's a little bit hard to guide clearly. But yes, I think we're -- this year, we're probably in the -- depending on if prices stay where they are now, we could be in that $20 million to $30 million range, hopefully, more towards the low end, but we'll see. We certainly paid more than -- we probably paid a good half of it in installments so far for the year. And there's a few nuances in the final tax returns that we're looking at where we can maximize and optimize our positions. And then from a go-forward basis, yes, I think the Ghanaian tax rate is 35%, we will start seeing a bit of noise with deferred taxes coming through. But on a base sort of current income tax expense basis, 35% would be a good number for you to use.
Alfredo Schmutzer: Okay. Okay. And if I may, very quickly, sorry, maybe the revolver credit facility, any specific reason why you decided to take that this year or I mean this quarter?
Matthew Freeman: No. Obviously, this is a process that takes a period of time. We're very much looking at it. It's just prudent balance sheet management. We've got an opportunity to put it in place just to reinforce things and get ourselves flexibility. But that's the reason we felt it's prudent at this point to do that for risk management.
Operator: [Operator Instructions] Your next question comes from Vitaly Kononov from Freedom broker.
Vitaly Kononov: First one relates to Esaase. So as it was paused temporarily in September, those bottleneck, let's say, lasted for 2 months. Can you elaborate on the measures taken to prevent any further disruptions that could take place in the operations?
Matt Badylak: Yes. Sure. I mean, I think our first defense in all of this is making sure that we've got strong relationships with the host communities in which we operate. And we do that on a day-to-day basis, right? So that's our first priority. I mean, the fact is that with gold prices doing what they're doing at record levels. And if you have any knowledge of West Africa as a region, illegal mining is prevalent in those parts of the world. And with those factors considered, there is an acceleration or an increase of illegal mining in our tenement. So the first thing that we need to do is make sure that the communities and the key community leaders that we have good relationships with as those relationships are maintained. And then the other thing that I will say is that we do mention about the military presence on site. I will point out that -- Asanko is the only the second large-scale mining company in the country that has access to military full-time 24-hour military presence on site. And with that as well, we feel that we're in a strong position to ensure that something like this doesn't occur in the future.
Vitaly Kononov: That covers my question. Perfect. And then second one relates to the secondary crushing unit that was recently installed. Can you elaborate on what would be the nameplate capacity going forward with this new equipment on hand, would you expect to raise full year guidance from the 5.8 million tonnes of...
Matt Badylak: No. I mean, listen, we've stated before that the purpose of the installation of that secondary crusher is to get us back up to the 5.8 million tonnes per annum. We were obviously a little bit shy of that because of the hardness of the ore that we were processing during the course of this year. We'll continue to process into 2026. So that's the target. The nameplate target will be 5.8 million tonnes per annum.
Vitaly Kononov: Wonderful. And the last quick one. So you've had a lot of exploration results that you're probably longing to share. Shall we expect to see a mineral resource update provided with the end year results?
Matt Badylak: Yes, we're expecting to provide an update to the mineral reserves and resources early in 2026 and most likely accompanying our full year financial and operating results at that time point.
Operator: There are no further questions at this time. I will now turn the call over to Mr. Matt Badylak for closing remarks. Please go ahead.
Matt Badylak: Yes. Thank you, operator. And I just want to say that I appreciate everyone's time who dialed into the call and asked questions. And as a management team, we're looking forward to execute to our revised guidance for the balance of the year and continue to provide the market with some exploration results as we continue drilling at Abore. So thank you very much and have a good day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you all for your participation. You may now disconnect.